Operator: Hello, everyone. My name is Sonia and I will be your conference operator today. At this time, I would like to welcome everyone to the Africa Oil Corp. Fourth Quarter 2024 Results Presentation. [Operator Instructions] Please note that this event is being recorded. The recording will be available for playback on the company’s website. I would now like to pass the meeting to Mr. Shahin Amini, Africa Oil’s Investor Relations Manager. Please go ahead, Mr. Amini.
Shahin Amini: Thank you, operator. On behalf of management, I thank you for joining us today for our 2024 results presentation. On the call today, we have President and Chief Executive Officer, Roger Tucker; our Chief Financial Officer, Pascal Nicodeme; and our Chief Commercial Officer, Oliver Quinn. There will be a presentation for around 20 minutes before we go into the Q&A session. First, I would like to remind everyone that remarks made during this session are subject to forward-looking statements, which involve significant risk factors and assumptions and have been fully described in the company’s continuous disclosure reports. The information discussed is made as of today’s date and time, and Africa Oil assumes no obligation to update or revise this information to reflect new events or circumstances, except as required by law. The company’s complete financial statements and related MD&A are available on the company’s website and on SEDAR. Roger, we are ready for you. Please go ahead.
Roger Tucker: Thank you very much, Shahin. 2024 was a busy year for our company as we delivered a number of key strategic transactions to retain our growth opportunities, streamline our asset ownership and derisk our balance sheet. This, together with Prime’s robust performance, having delivered production and cash flows in line with our management guidance enabled us to return almost $68 million to our shareholders through the base dividend policy and share buybacks. This is the largest annual return to Africa Oil shareholders since our first dividend distribution in March 2022. Another notable achievement was the successful completion of the Venus appraisal program with the project moving forward into development planning stage. I’m very encouraged by the operator’s positive updates as we look forward to the project’s final investment decision by the end of the first half of 2026 and to ultimately see Venus coming on stream as Namibia’s first producing oil field. Venus is a key growth asset for Africa Oil, and it is crucially that it is funded to first oil through the innovative farm-down agreement between our investee company, Impact and TotalEnergies. This deal also covers all of Impact’s exploration and appraisal expenditures through to the first commercial production from Venus. We also successfully advanced our key strategic objective of strengthening our rights and influence over Impact by acquiring additional shares and increasing our stake in Impact to 39.5%. These deals were crucial enablers for us to reach the agreement with BTG to consolidate all the Prime shareholding in Africa into Africa Oil, and our company is now on the cusp of a truly transformative and value-accretive event. Next slide. And I’m pleased to report that we are very close to completing this transaction, which is expected to be on or about the March 7. This will be a strategic milestone for the company as we will double our reserves and production and will take direct control of Prime’s cash flows and balance sheet. We will be in a stronger position to implement steady and predictable shareholder returns and to pursue new growth opportunities focused on producing assets in a disciplined manner. Our intention under the new capital allocation framework is to distribute an annual base dividend of at least $100 million. Our plan, subject to the customary consents and Board approval is to declare the first quarterly dividend distribution of $25 million on completion of the deal. Also, recall that we intend to distribute 50% of excess free cash flows net of the base dividend in the supplementary dividends and/or share buyback. Next slide. 2024 was a good year in terms of production as the assets achieved average daily rates within our full year guidance, reflecting robust operations, including allowances for planned maintenance programs. These included the Akpo FPSO’s full field shutdown from mid-March to mid-April. Even so the new Akpo wells drilled and completed achieved better-than-expected average rates and helped offset natural declines. In total, 3 new producers and one new injector were successfully tied back to the Akpo FPSO in 2024. Egina outperformed expectations, thanks to high production efficiency and successful well interventions during Q3 and Q4. And Agbami performed in line with plan, we did start planned maintenance on one compressor at the end of Q4, which will be carried over into Q1 2025, but overall performance remains strong. All-in-all, these results highlight the resilience of our portfolio and show how ongoing well interventions are helping to sustain production. We’ll share more details on our 2025 production outlook once the Prime deal is finalized. With that, I’ll hand things over to Pascal for the financial highlights. Next slide.
Pascal Nicodeme: Thank you, Roger. In 2024, Prime achieved an average realized price of $84.6 per barrel compared to an average dated Brent of $82.7 per barrel. We did have allocated liftings in Q4, but these were deferred to Q1 2025, resulting in a large position at year-end. This will be unwound in Q1 2025 with up to 5 cargoes scheduled for lifting. For the full year, Prime lifted 9 cargoes totaling 9 million barrels compared to 13 lifting in 2023. Prime’s oil marketing and price risk management continue to rely mostly on forward sales contracts with a trigger price mechanism. And Prime is complementing this strategy with hedging instruments such as put options and colors. For instance, in the third quarter 2024, Prime purchased a major output for 1 million barrels at a strike price of $75 per barrel for the period between 2nd of January and 31st of March 2025. So, if the average Brent spot price over this period is below $75 per barrel, Prime will be compensated in cash for the difference with the strike price. During the third quarter 2024, Prime also entered into a zero-premium Asian-dated Brent collar transaction for 1 million barrels of oil. With strong realized prices and a well-structured lifting schedule, we are well-positioned to optimize sales and cash flow in 2025. Next slide. In 2024, Africa Oil recorded a net loss attributable to common shareholders of $279.1 million, which is a decrease from the net income of $87.1 million recorded in 2023. The net loss is primarily comprised of income from the company’s investment in Prime for $226 million, which is offset by the losses from the company’s investment in associates of $38.7 million and a non-cash impairment loss in the company’s investment in Prime for $436.7 million. This non-cash impairment is due to the fair value of the existing 50% shareholding in Prime being calculated based on the implied value of the proposed reorganization, calculated using the number of shares to be issued to consolidate the other 50% shareholding in Prime and Africa Oil share price at the end of 2024. It is important to reiterate that this is a non-cash impairment, and there can be a further loss or gain on the completion date of the Prime deal based on the company’s share price and FX rates. Now looking at Prime’s financial results. It is notable that Prime recorded net to Africa Oil was 50% shareholding an EBITDAX of approximately $242 million during the fourth quarter 2024, which included the recognition of a $164 million gain from Prime’s Agbami securitization agreement. Prime had made a provision for the full cash payment it had received from a JV party to reflect the mechanism pursuant to which any formal Agbami settlement payments could offset the security deposits. However, Prime released its provision for the original cash payment in December 2024 to reflect the absence of a comprehensive resolution amongst all unit parties regarding Tri’s participation in the Agbami field. Roger has already stated that Prime achieved working interest and entitlement production rates within the management guidance ranges. I’m also pleased to report that Prime also achieved cash flow from operations before working capital adjustments and interest payments of approximately $268 million that fell within our 2024 guidance of $260 million to $290 million. Next slide. We ended 2024 with a cash balance of $61.4 million compared to year-end 2023 cash of $232 million. During the year, Africa Oil received two dividends from Prime for a total receipt of $36 million. The main uses of our cash include a total shareholder return of approximately $68 million, our highest annual return so far, and an additional investment of about $89 million in impact to enhance our influence and control of our core strategic assets and value driver in the Namibian Orange Basin containing the Venus Light oil field. But most importantly, as we look forward to the completion of the Prime deal, I must highlight that the combined Africa Oil and 100% of Prime cash balance as of year end 2024 is about $461 million. This does not account for Prime cargoes already lifted this year and the $32 million dividend that we received from Impact earlier this year. So, looking ahead, we can be very pleased with our substantial liquidity position, which grants us enhanced financial strength and greater flexibility to effectively support our strategic priorities and drive sustainable growth. I will now hand you over to Roger for the next slide.
Roger Tucker: Yesterday, we published our year-end 2024 statement of reserves, achieving 1P and 2P reserve replacement ratios of 101% and 77%, respectively. Pro forma 2P reserves for 100% of Prime, is approximately 102 million barrels of oil equivalent on a working interest basis and 116 million barrels of oil equivalent on the net entitlement basis as of the end of 2024. This provides the enlarged Africa Oil with full ownership of Prime with long-life assets and high netback production. These reserves continue to be liquids-rich with 78% in the medium to light gravity crude oil category. Furthermore, considering that 60% of the 2P working interest reserves are in the proven category, we continue to benefit from a low-risk reserve base from reservoirs that are technically well-understood and are monetized through high-quality and well-maintained FPSOs. We do benefit from low lifting costs, which averaged approximately $10 per barrel of oil equivalent in 2024, supportive fiscal regimes, and as Pascal has already presented, premium Brent pricing. An independent valuation of the pro forma reserves base is more than $2 billion. The next slide. Now, let’s turn to 2025 and our outlook for these Nigerian assets. The focus of the 2025 drilling campaign is on infill wells in the Akpo and Egina fields with a plan for up to 5 infill wells and one high-impact near-field exploration well targeting about 120 million barrels of oil on a gross field basis. Considering this is a near-field exploration play, a discovery would benefit from the existing FPSO and can present a very attractive development opportunity as a subsea tieback. Further infill drilling on Akpo is expected during the second half of 2025, and has the benefit of 4D seismic data acquired during 2024. Similarly, drilling on Egina is supported by valuable insights from the 4D M2 surveys completed in 2024, and this is set to begin in the first quarter. For Agbami, at the end of the fourth quarter of 2024, the operator started a planned maintenance program on 1 of the 3 gas compressors. That work has continued into 2025, with a full overhaul of the remaining compressors scheduled over the next 2 years to sustain high uptime. At the same time, we’re advancing on 4D seismic data processing. This will shape Agbami’s 2026 drilling campaign, which remains on track alongside a full field maintenance shutdown planned for the fourth quarter 2025. Finally, a quick update on Preowei. For the Preowei discovery that lies north of the Egina complex and is a subsea tieback candidate to the Egina FPSO, the focus is now on cost optimization and field development studies using 4D baseline seismic data from the second quarter of 2024. These efforts are key as we look forward to the project’s final investment decision. Now, as we are very close to completing the Prime deal, we have made the decision to wait and present the consolidated 2025 management guidance for the enlarged company on or after the completion. I’ll now hand over to Oliver to discuss the outlook for our Orange Basin assets.
Oliver Quinn: Thank you, Roger. We’re now going to turn on Slide 12 for the Orange Basin and talk about Namibia, where we have seen positive progress around the Venus development. To recap, Venus is a world-class deepwater light oil discovery that was made in 2022 and subsequent appraised in 2023 and 2024 through 3 further wells and flow tests. Most recently, we’re encouraged by the operator’s public statements about the commerciality of the field and the timeline towards the final investment decision, which is expected by the end of the first half of 2026, although we understand the JV stretch target, is still focused on the end of this year for that FID. As per TotalEnergies communication, the first Venus FPSO is being designed with a sustained plateau production rate of 150,000 barrels of oil per day. That topside scale and plateau rate is ultimately driven by the forecast associated gas production and the reinjection of that gas into the reservoir. Stepping beyond Venus, exploration activity continues in the wider area, underpinned by two recent 3D seismic surveys that were acquired during 2024. As already communicated, Marula 1X is drilling south of the Venus oil field, targeting a large deepwater fan system, which is very analogous to Venus itself. TotalEnergies has also communicated the plan to continue further exploration drilling across the licenses through 2025. So overall, in Namibia, we expect to see significant progress on 2 fronts: the maturation of the Venus development and, in parallel, extensive testing of further large prospects in the area. In terms of our commercial position, we of course hold our Namibian interest through Impact Oil and Gas, and this ownership position remains a key value driver for the company. During 2024, we further strengthened our shareholding position in Impact, increasing our stake from 31.1% to 39.5% through two investments for a total investment of approximately $89 million. This deepens our exposure to Venus and the broader exploration upside and enhances our influence and control over our core asset. As a reminder, Impact’s costs across exploration, appraisal and development are fully carried across the 2 licenses, delivering exposure to future cash flows and material resource upside at no upfront cost. So, we’re now going to stay in the Orange Basin and move a bit further south on Slide 13. So, let’s look at Africa Oil’s operations in Block 3B/4B, a position owned directly by Africa Oil in an exciting area in the Orange Basin positioned southeast of the Venus discovery and the other fines to the north. The block is covered in high-quality extensive 3D seismic, and this has allowed the team to identify several promising exploration prospects that have been matured to a drill-ready technical status. A key commercial milestone came in August 2024 when we finalized a farm-down agreement with TotalEnergies and Qatar Energy. This transaction secured up to $47 million in value, including cash upfront and an exploration drilling carry. Then, in January 2025, with the exploration funding in place, we deepened our position by acquiring an additional 1% interest from Azinam, a subsidiary of Eco (Atlantic), bringing our stake up to 18%. On the regulatory side, the South African Department of Mineral Resources and Energy granted environmental authorization for up to 5 exploration wells in September 2024, which was a major step forward, and we are now working our way through the customary appeals process in the country. The maturation of the farm-down strategy has mitigated our financial exposure to exploration spend and leaves us with a significant upside. With an experienced operator in TotalEnergies, the stage is set for meaningful drilling activity, and Africa Oil is in a strong position to test the potential of 3B/4B. In line with TotalEnergies’s public statements, we expect the first exploration on this block to be drilled during 2026. Given our material direct interest, a commercial discovery on the block could be transformational for the company. We will now change focus and move to Slide 14 to discuss the company’s value proposition and capital allocation framework. So on this slide, we present the value proposition for the enlarged Africa Oil, so that is post completion of the Prime consolidation. I think the first point to note is the simplification of the business with core NAV driven by offshore Nigeria production and, as mentioned by Pascal, a significant cash balance, that results in a net debt of around $250 million. Just for reference, Nigeria valuation uses a 12.5% discount rate, and these values are as estimated for our year end 2024 statement of reserves. So, with our total cash balance of just under $500 million and Prime’s debt, which will transfer to Africa Oil at the completion of $750 million, we see a core NAV with Nigeria just under $1.4 billion. The key point to focus on here is that at current trading levels of our share price, that’s somewhere around a 35% discount to that, what we believe is a very disciplined view of core NAV. If we look at pro forma market cap on completion, we assume for this case, no change in share price. We simply take today’s share price multiplied by the new share count, and we have a market cap of $900 million. As we look beyond core production, we see future value in derisking of Namibia as described, the future Orange Basin well in 3B/4B South Africa and in Equatorial Guinea and exploration potential, too. Today, we see these as low cost or net 0 cost options. Needless to say, we believe the current valuation does not reflect fair value. Following Prime’s completion, we will be well-positioned to unlock this discount, leveraging a strong net cash position, material reserves, high-margin production and fully carried exposure to high-value catalysts that can drive further upside. I’ll now hand back to Roger to talk about capital allocation.
Roger Tucker: Thanks, Oliver. So, after completing the Prime consolidation, we will implement what we’ve actually shown you over the last several months since signing the deal that we will implement our new capital allocation framework, which is designed around prudent balance sheet management, sustainable leverage and our commitment to shareholder returns. Two key criteria for prudent balance sheet management are maintaining a minimum cash balance of $150 million and a net debt-to-EBITDA ratio of no more than 1x. As already presented, we are significantly increasing our base dividend policy, which is a clear and confident message on our outlook for the business and its free cash flow generating capacity over the coming years. Also, as we have already communicated, we are committed to supplementary returns, which are 50% of free cash flows net of the base dividend, and this will be used for special dividends and/or share buybacks. This reiterates our goal to strike the right balance between shareholder returns and continuing to deliver growth as part of our drive for a total shareholder return model. Of course, we have the benefit of funded growth opportunities, such as the Venus project, and with a streamlined business organization through the Prime consolidation, which is supported by our strong liquidity and balance sheet strength, we are confident that we are in a very strong position to pursue new business opportunities outside the existing portfolio focused on producing and cash flow generating assets. We will do this exercising strict strategic financial and operational criteria. And then therefore, to recap on the last slide, we can look back, I think, as a business on 2024 as a very busy and successful year for the company. We have concluded multiple strategic deals and investments, as well as delivered on our shareholder return commitment. Our full year 2024 capital return of $68 million is the highest in our corporate history, and we were getting step to beat this in 2025 with the enlarged annual dividend policy of at least $100 million. With our strong liquidity, high netback production and funded organic growth opportunities, we offer a balanced business model between shareholder returns and continuing to deliver growth. We have strong pillars to our business, and I’m confident that we are well-positioned in the independent E&P sector to take advantage of the consolidation opportunities that we believe will be coming our way. And I will reiterate that we will do so adhering to strict strategic operational and financial criteria. Thank you all very much for your attention. And let’s open up to the Q&A.
Operator: Thank you. [Operator Instructions] The first question comes from Harrison Lock from Stifel. Please go ahead. Your line is now open.
Harrison Lock: Hi, all. Thanks for taking my question today. I appreciate you’ve shared the new capital allocation framework for post the consolidation. But if we actually look at the numbers here, you are going to have a pretty healthy cash balance. So, I just wondered if you could talk around your plans for your cash balance. And I appreciate it’s above the minimum liquidity you are talking about. So, any color there would be extremely helpful?
Roger Tucker: Yes. And actually, we had your colleague earlier on today who asked exactly the same question. And what I said is that it’s very, very good to have a positive cash balance of $500 million, much better than having a negative cash balance of $500 million. And it is obviously significant. And we have a series of options with this. We do have debt repayment opportunities within the existing portfolio. We have announced that we will be starting the $100 million per annum dividend stream. And also, implicit in that is that we are going to be paying that on a quarterly basis. Obviously, as we get towards the end of the year, we do have the potential to either further dividends or a potential share buyback. But we are in the midst of looking at other potential opportunities, which we will potentially need cash for. Nothing is decided and we are constantly looking at the criteria that we will use both financial and operational to deploy that capital either as additional returns to existing shareholders or in acquiring other assets.
Harrison Lock: That’s clearly helpful. I mean, that’s all for my ourselves. Thanks a lot guys.
Operator: Thank you. I’d now like to hand back to the room for any questions on the webcast.
Shahin Amini: Thank you, operator. We do actually have a number of e-mailed questions. There are two questions from Theodore of [indiscernible] who unfortunately couldn’t join because of the conflict. So, on shareholder capital returns, Theodore just wants to hear more from us and more color on our thoughts around cash dividends versus buybacks, any thoughts around the table on that?
Roger Tucker: Well, what we are committing to is the dividend stream. And you’ll see if you look at the slide on the capital allocation, that we do have the option of paying 50% of any excess free cash flow either as a dividend or as a buyback. Obviously, at the present time, one would think that this share price and this differential valuation to share price, a buyback could be attractive. But we will be reviewing that with the new Board continuously as we go through the year. But we are committing to a dividend stream. This will be a dividend-paying entity, which has got the flexibility within it to add a buyback component as and when required. But that will be decided by the new Board when that becomes effective. Any of you any further statement?
Shahin Amini: Well, look, I mean, over the last 3 years, our first capital return was the base dividend policy that was introduced in March 2022. Since then, we’ve returned more than $160 million in dividends and buybacks. And I think the two are very important tools but different tools. So clearly, dividends give a very confident message on our long-term cash flow outlook and the robustness of the business. And obviously, the buybacks are a very important tool in terms of allocating capital if you believe that your share price is at a significant discount to the underlying value. So, they do send different messages, but we have applied both opportunistically. If I may move on, there is a couple of questions on production and guidance. I think it’s important for us to reiterate that we are very, very close to completing the Prime deal consolidation. And we will give you a consolidated management guidance for 2025 on that point. So do bear with us, but we will give you that view in due course. The next question, there is actually, if I may, a couple on the Equatorial Guinea and about the expansion of the boundaries on that and what is the plan for this year, what’s our aspirations for this year? Roger? So basically, just a confirmation that the boundary of EG31 has been expanded.
Roger Tucker: It’s been expanded northward. And so, there is a prospect, which was the bulk of it was on our previous block boundary, which is called [indiscernible] and that extended into the area to the north. And now that area, which means now the whole of the prospect is on our block has been allocated to us.
Shahin Amini: Okay. And the next one was, what is the outlook for this year, I suppose in terms of the founder?
Oliver Quinn: Yes, thanks, Shahin. I’ll take that one. So, we’ve got two positions in Equatorial Guinea, which are actually a very different nature. So, as Roger just mentioned, EG31 is effectively a discovery undeveloped, very close to the existing EG LNG facility. So, the development concept is a fairly short cycle, low CapEx tieback to backfill haulage in that facility. And second position, again, is different. It’s Block EG18, which is outboard kind of deepwater large sand fans, so kind of high-risk, high-reward exploration. We have a position of 80% in each of those, and then the state has a 20% position. So, look, what’s critical is to bring partners in there and through a partner to attract capital to derisk the financial investment from our position. So, look, that’s a very active process this year. There has been a lot of new data. There has been some critical milestones, as Roger said, expanding the license boundary around Maersk to capture the full prospect and significant technical derisking. That is all in good shape. And so, we will be through the summer period here, spring/summer, seeking to attract farms for that. I think the final thing to say on it is just to tie that back to our capital allocation framework. And again, why are we seeking farming partners and farming partners that bring funding. It’s not again given the cash balance because we can’t fund it ourselves. It’s about capital discipline and risk allocation. So, we would like to derisk it financially ahead of any further activity.
Shahin Amini: Thank you very much, Oliver. And there is a question, which is more to do with the sector outlook for M&A activity. And the question is, do you expect consolidations among some of the larger international oil companies to yield acquisition opportunities as they rationalize portfolios? Are you seeing any new entrants in the areas of interest that increased competition in the M&A market? Oliver, do you want to tackle that?
Oliver Quinn: Yes. Look, I think it’s always a pertinent question. So, look, I think as the cycle goes there’s been a lot of, of course, M&A in the U.S. onshore business. There has been M&A in the international as it were E&P business, but kind of big companies, midsized companies, right? As you move down to the space that we’re in, there hasn’t been so much for various reasons. So, I think our view is that there’s a natural consolidation of the, say, sub-$5 billion type space here, right, of companies that could come together and ultimately create better vehicles for their investors. So, there is a big opportunity generally in the market for that. I think the flipside specifically on the asset point is, of course, the world is moving fast right now. But generally, the bigger companies are going longer on hydrocarbon, and therefore, they are not necessarily in the place they were a couple of years ago to divest at the asset level. So, I think even when they do, the question from our perspective would be, again, we talk all the time about discipline in our M&A and inorganic growth is could we get true value from those type of acquisitions, right? Big question. So, look, I think, yes, restructuring still kind of overdue, if you like, in this space. Asset transactions per se somewhat more challenged from a value perspective. But certainly, we expect it to be an active landscape through the next period.
Roger Tucker: I think it’s also important to note that because of the strength of our balance sheet, we can afford to wait for exactly the right opportunity rather than rush into anything urgently. So, we can be extremely selective with what we attempt to go for.
Shahin Amini: A question on BTG becoming Africa Oil’s largest shareholder once the Prime deal is closed what does that mean for Africa Oil?
Roger Tucker: Well, I was talking to people earlier. Yesterday was the last Board meeting of the old Africa Oil Board ahead of completion of this transaction. And what I’d like to say is that the way I describe it is that this is the full stop, if you like, on old Africa Oil. We’ve been through all of the consolidation. We’re bringing in a very highly-educated shareholder that we’ve known for over 5 years in this. And the company has effectively turned 180 degrees to be focused on generating cash and production. And the company will continue in that theme. The critical element is that prior to obviously signing the deal, we agreed what the forward strategy would be. We agreed what our view of this space was. We agreed what we thought was going to happen over the next 3, 4, 5 years. And we are very, very aligned with them. There are several other companies that are out there that have got major investors in there that you can cast your eye down. And I think it is going to be a theme that defines the successful companies that are down in this market cap size, that you do need to have a very powerful investor alongside you that is going to be long-term supportive.
Shahin Amini: Now, a question on does Africa Oil have aspirations to become an operatorship?
Roger Tucker: Yes. I’ll get it out on the table. We would review operated assets. I’ve got a huge amount of operating experience. I don’t want to necessarily build an operating business, but we would look at taking on operated assets because we have certain strategic directions that we’re considering 3, 4 years out, where that could be a strong competitive advantage. So, we would – to answer the question, we would review operated assets.
Shahin Amini: Very good. There are three questions which are Orange Basin specific. One is actually on the Venus Phase 1 development. And Total has guided to production of 150,000 barrels of oil per day for the FPSO. Does this imply that there’s only one FPSO on this discovery? And Oliver, can you share your views on that?
Oliver Quinn: Yes. I think there is probably two things in there. So, I think for context on the recent Total Energies guidance on 150,000 barrels of oil per day plateau production. So, look, ultimately, significant resource in Venus. The question of scale of the first FPSO is really around handling associated gas from the reservoir, which will be reinjected into the reservoir and how to optimize that process. So ultimately, the scale of gas compression on the top side vis-à-vis how much oil does that unlock? And so, I think the recent work that they’ve done has pointed to a lower headline rate than some of the prior numbers as a peak production rate, but a longer plateau. So really, that’s an optimization – economic optimization of development of the first FPSO. The second part of the question, I think, was around does it imply there will only be one FPSO? It doesn’t. I think, again, it’s about optimizing that first FPSO and the economics and returns on that rather than just going for scale where incrementally those top end barrels cost you more. But look, I think the work is ongoing, but I think we would see sufficient resource there that there’s certainly a case and consideration for further development.
Shahin Amini: Okay. Moving further south in the Orange Basin, Block 3B/4B South Africa what is the timing for the first exploration well?
Oliver Quinn: Yes. So, the 3B/4B, of course, just to recap, we had a farm-out process, farm-down process in 2024. We attracted and brought in TotalEnergies as operator and Qatar Energy as partner. So, we put in place a very powerful consortium with a very, very good operator who, of course, we know well from both Nigeria and Namibia. Having done all that, the joint venture has proceeded at pace. The technical work is mature. The well planning is mature. It then moved, of course, late last year into the regulatory space where there was an application processed for an environmental permit from the government essentially to drill up to 5 wells that was approved. That then has gone into a statutory appeals period. And as expected in South Africa because this has happened on every well so far, appeals have been made and those will be reviewed by the department, and they will either accept or reject those appeals and then there is a further right of appeal from those that may wish to pursue that. So, that process is ongoing. Again, again, nothing unusual there, it’s what we expected. What that means on timing is that TotalEnergies have pointed publicly to 2026 as the planned date for the well. They have other positions in country as well. So, it ties together for them, which makes sense for us, too. So, look, the view is it would be 2026 right now.
Shahin Amini: And has it been contracted? I suppose that’s…
Oliver Quinn: Yes. No, it’s early stage. But again, I’ll point to what’s happening in the basin, you step back, TotalEnergies is, of course, a very important partner to us. One of the many attractions of bringing them into the 3B, 4B, because it was – you can imagine in the Orange Basin, there was a lot of interest, is that they are, of course, drilling in Namibia. So, they understand the play. They have drilled a lot of wells and they have rigs in the region. They also have Tungsten Explorer on a 10-year contract, which they have co-ownership of. And so, we think they’re very well placed to bring a rig in as opposed to bringing in another partner who may have had to source a rig and that could have cost us more time.
Shahin Amini: Yes. There is an interesting question I think we should put it to Pascal. With B2G as a partner, do you still have a banking syndicate?
Pascal Nicodeme: That’s a good question. The RBL is going to remain in place, and we have a very strong syndicate at the RBL level – and therefore, we are definitely keen to keep that syndicate. And as Roger mentioned before, we plan to refinance that RBL that we talk about refinancing, it’s mainly an extension and restatement of the existing facility. So, we are looking forward to existing syndicate to stay in place. We know that some banks are going to leave, but it’s important that we keep our relationship with our existing syndicate.
Shahin Amini: Excellent. There are a couple of questions on recent drilling activity on Block 2913B, specifically Tamboti. We’re not going to say anything other than what we’ve already put in our press release. The results that well did encounter oil-bearing intervals. It was tested and the data is being analyzed. As always, we will look to the operator, TotalEnergies for formal communication on that, but we have nothing more to say on that for now. And so now just changing tack on to the corporate side. In terms of the Board, you said, Roger, that obviously, we have the last Board’s final meeting took place and the new Board is coming in. Would you just please remind people of the – quickly of the makeup of that Board, the incoming Chairman and so on?
Roger Tucker: Yes. So, the new Board is actually being prepared at the present time, will become effective on the day of completion. There is a process in place. And so, the Chairman replacing John Craig is going to be Hugh Jenkins, who is an extremely senior person within the BTG group based in based in London. And then in addition to that, BTG will appoint two other people it’s going to be a 9-person board, by the way. We’ll appoint two other people. One of them is Edwyn Neves, who runs one of the major trading desks within the greater BTG Group. And the other one is coming in as the Chief Executive of Petrolon, which is becoming a significant shareholder in the company post this transaction and that is Ahonsi, will be coming on board. Then on our side – sorry, on our side, the only two directors that will be continuing on from the old Board are Mike Ebsary, who was appointed in May last year, extremely experienced man in both Nigeria and at the CEO level and CFO level, and he will become the Lead Independent Director. And then also Kimberly Wood is continuing on in the Board. And as some of you will have seen, our current CFO, Pascal, who I will say has done an absolutely outstanding job in getting us through this transaction in difficult circumstances, will be standing down as CFO, but will be taking an NED role in the company and will be our third nominee. Then in addition, there are two independently nominated people. One of them is a guy nominated by BTG and his name is Richard Norris, very competent, highly regarded technical person with a background – obviously, a technical background, but also strangely, he has been an adviser to Helios. And so, he knows these assets very, very well from the old days, and he does sit on another company board for BTG. And then on our side, we are currently temporarily going to put on John Craig to take our independent slots whilst we are out for search, which is proving not difficult, but we have a particular requirement in the Canadian regulations require that we have both a Canadian national and a Canadian resident on there. And we are close to filling that stock. But temporarily, John Craig will continue. So that is the makeup of the Board. I am continuing on the Board. It is 9 people. We’ve already held the first integration session about three weeks ago where we went through the committee structures and everything else. And so, this transition will be seamless, but you are going to see some significantly different faces on this board.
Shahin Amini: Thank you, Roger. There are a number of questions on share buybacks above and beyond what we’ve already done. I think the important point here, everyone, is that we have given you our – well, capital allocation framework for the enlarged AOC. That is clearly communicated. I think that says a lot. And of course, it’s in speculating on what we may or may not do whilst we are waiting for the incoming Board. As always, dividend policies and share buybacks are subject to Board approval. So, we’re not going to – certainly to the fact that we’ve already agreed that we’re going to do the $100 million quarterly, $25 million a quarter and that has been pre-announced subject to completion of the transaction. And so on that note, there are no further questions. So, Roger, I’m going to hand back to you for final comments.
Roger Tucker: Well, I actually partially covered it. What I was going to say is that this is the last time you’ll be seeing Pascal sitting often we see, but sitting opposite me. And it has been an absolute pleasure working with Pascal. He has worked through this transition process in a totally gentlemanly manner, knowing that the deal would result in him eventually leaving the company. And I am really happy that his knowledge and experience is going to continue with us and be available to us as an NED on the Board.
Shahin Amini: Yes, you will be. Mr. Pascal, it’s been absolute pleasure, privilege working with you. Thank you. On that note, operator, we are done. So, it’s okay to disconnect the line.
Operator: Thank you. This concludes today’s conference. You may now disconnect.